Mike Henry: Hello and thank you for joining us to hear about BHP’s Results for the 2024 Financial Year. I’m joined by our Chief Financial Officer, Vandita Pant. The Company performed well again this year operationally and financially. We delivered reliable operational performance, achieving a number of records. However, tragically a colleague was fatally injured on the job in January and this is a heavy reminder of the imperative to continue our relentless efforts to eliminate fatalities and serious injuries from BHP. Our strong underlying operational and financial performance is enabled by our simple, clear strategy and the discipline with which we execute it. This includes our differentiated portfolio of the best assets in the most attractive commodities as well as our approaches to operational excellence and capital allocation. 7Our portfolio is focused on large long-life assets in commodities that are set to benefit from the megatrends playing out around us. A growing population, increasingly urbanized, seeking higher standards of living and embarking on the energy transition. We are passionate about operational excellence. This focus ensures we unlock maximum value from our assets and the capital we have deployed and consistently deliver high operating margins and good returns. The combination of these attributes delivers strong, consistent cash flows. Coupled with our resilient balance sheet and the discipline embedded through our capital allocation framework. This gives us the ability to fund our growth and deliver attractive returns to shareholders. The creation of broader social value is also vital to our business and goes hand-in-hand with long term shareholder value. Our actions throughout the 2024 financial year are consistent with that strategy, pursuing operational excellence, creating social value and shaping our portfolio for the future. This proven strategy, consistently delivered, keeps BHP and a strong position to create value now and for decades to come. Reflecting our focus on operational excellence, this past year we met final production and unit cost guidance at all of our assets. This includes record production at Western Australia Iron Ore, Spence and Carrapateena. We widened our lead as the lowest cost iron ore producer in the world and grew copper production by 9% for the second consecutive year. We are now producing almost 300,000 tons of additional copper each year, making us the Company with the fastest growing copper exposure over that period with a further 4% expected in 2025. Supported by this strong underlying performance, we've determined a final dividend of $0.74 per share which takes our total dividends for the year to $7.4 billion, continuing our track record of delivering attractive cash returns to shareholders. In addition to our sharp focus on safety and unlocking the greatest potential returns for shareholders through our existing operations, we're also continuing to invest in value adding growth and are shaping BHP for the future. Stage 1 of our Jansen potash project is ahead of its initial schedule, with first production forecast for late 2026, and Stage 2 is in execution. At Copper South Australia, we've already unlocked more synergies faster than anticipated at the time of the OZ Minerals acquisition, and we're increasingly excited by the growth pathway both there and in South America, with our work on a pipeline of projects in Chile indicating attractive returns. We have also recently announced an agreement to form a significant joint venture with Lundin Mining related to a future copper growth opportunity in Argentina. In recent months, we made the difficult decision to temporarily suspend our Western Australia Nickel operations in light of the very tough market conditions for that industry. We understand the impact that has on the team there and the surrounding communities, and are working closely with them to both mitigate the near-term impacts and to ensure the business is best placed to restart operations, if and when market circumstances warrant. Everything we do must be done safely. The safety of our people and those around us remains our absolute priority. And the loss of a coworker in a light vehicle accident at our Saraji mine was tragic. And it is paramount that we continue our efforts to reduce and eliminate fatal risk from our business. Our structured work in this regard is helping to reduce the frequency of high potential injuries. Those incidents that had the potential to result in a fatality and in which someone was injured. We improved on this measure by 36% during the year. Safety will remain an area of utmost focus for me and for the leadership team. We made very good progress this year on our social value goals. We remain on track to meet our 2030 operational greenhouse gas emissions reduction target, where we've cut emissions by 32% from our 2020 baseline. This has been achieved even with a slight expected increase in operational emissions this year as activity lifted across our business. Our 2024 climate transition action plan published today reaffirms our commitment to achieving challenging and credible greenhouse gas emissions reduction targets and goals and continues the multi decade action we've been taking on climate change since we set emission intensity targets for our operations in the 1990s. Today, BHP's operational greenhouse gas emissions are among the lowest of our competitors. Following strong support from shareholders for our 2021 climate transition action plan, we look forward to engaging with our shareholders on our 2024 plan as we move towards our second ‘Say on Climate’ vote at our upcoming Annual General Meeting. We continue to make meaningful progress towards a more inclusive and diverse workforce, a key enabler of better safety and productivity. We increased female employee participation across the group to over 37%, up almost 2 percentage points from last year, and our global leadership team is balanced. We increased our spend with small, local, and indigenous businesses to $3.3 billion including more than $600 million with indigenous businesses, which was up 83% on last year. Our total economic contribution across the regions we operate in was over $49 billion which includes $11.2 billion in taxes and other payments to governments, around 85% of which was in Australia. These are strong numbers, representative of a healthy company performing well. And I'll now hand over to Vandita to go a little further into the results.
Vandita Pant: Thanks, Mike. Before we get into the results, I want to say that it is a privilege and an honor to have been appointed BHP's Chief Financial Officer in March. Having been with BHP for more than eight years as Chief Commercial Officer and before that as Group Treasurer and Head of Europe, it is clear to me that our incredible assets, proven strategy, capital allocation framework and superior operational capability truly set BHP apart. We delivered another strong set of results this year enabled by the disciplined execution of our strategy. Underlying EBITDA increased by 4% with a healthy margin of 54%. Our adjusted effective tax rate including royalties was around 42%, which gave us an underlying attributable profit of $13.7 billion and a return on capital employed of 27%. Our total attributable profit was $7.9 billion after net exceptional charges of $5.8 billion. These included a $2.7 billion non-cash impairment of Western Australia Nickel Business, a 3.8 billion charge for the Samarco dam failure, partly offset by a $674 million gain on the sale of BMA’s Blackwater and Daunia mines. Underpinned by a focus on operational excellence we continue to generate significant cash. This year we generated more than $20 billion of net operating cash flow. This enabled us to invest $9.3 billion in our business, 31% more than last year, reduced net debt to $9.1 billion and deliver attractive returns to our shareholders. Our full year dividend is $1.46 per share. Our underlying EBITDA was higher year on year due to solid operational performance and higher prices for key commodities. We performed well in areas within our control while we spent more on maintenance, labor, exploration and business development reflected in the $800 million change in costs shown in the waterfall overall, our productivity and cost discipline helped us to mitigate the effects of inflation. While we experienced a global inflation rate of 4%, predominantly driven by higher labor costs, unit costs across our major assets increased less than 3%, and we met our final unit cost guidance at each of our assets. Our operations performed well across the portfolio. In Iron Ore, we delivered record production volumes at an EBITDA margin of 68%. We achieved this with strong performance and cost discipline across the supply chain. South Flank completed its ramp up to the full production capacity and the Port Debottlenecking Project PDP 1 enabled us to get this to market. WAIO has been the lowest cost iron ore producer globally for over four years now, and this year with C1 costs of just $15.84 per ton we further extended our lead. In Copper, strong performances from our operations, underpinned an EBITDA margin of 51%. Overall, copper production was our highest in over 15 years. Escondida achieved its best production outcome in four years. Spence had another record year. And at Copper South Australia, successful integration of the OZ Minerals assets and strong underlying performance delivered a number of operational records. BMA production was impacted by the highest stripping needed to improve supply chain stability and restore inventory levels. Pleasingly, we are starting to see signs of improvement, but it will take time to recover. We also completed the sale of the Blackwater and Daunia mines further upgrading our steel making coal portfolio to focus on higher quality coal and further simplifying our operations and transport logistics. New South Wales Energy Coal continue to deliver strong operating results, and we are on track with our plans to stop mining there in 2030. In July, we made the decision to temporarily suspend our Western Australia Nickel business, including both the Nickel West operations and the West Musgrave project. While we still expect demand for nickel to grow substantially, significant global oversupply and higher costs mean our nickel business was losing money. We see that oversupply continuing for some time to come until later this decade. So, we have chosen to suspend operations from October this year. This suspension preserves the option to restart if and when conditions get better. Now let me talk about our Capital Allocation Framework or CAF. The CAF is the mechanism by which all users of capital compete in order to maximize value and returns for our shareholders. It sits at the core of BHP and has delivered strong results. Our balance sheet is in great shape. We have consistently delivered attractive cash returns to shareholders, and we continue to execute our strategy through reinvestment into our business. The first step to achieving any of this, however, is through our focus on operating and capital productivity to maximize the cash we have available to allocate. We consistently deliver a high baseline of cash flows, having generated net operating cash flow above $15 billion for all but one of the past 15 years. We have achieved this due to the quality of our portfolio and our focus on operational excellence and cost discipline despite market and operating conditions varying greatly over that time. This stability is a hallmark of BHP. We have a lot of opportunities in front of us to invest for attractive returns. Looking forward, we expect to increase our capital and exploration expenditure as we unlock productivity, work to decarbonize our assets and deliver growth in future-facing commodities. We expect to spend around $10 billion in the 2025 financial year, of which majority will be directed to growth and improvement, for example, smaller projects that enable better productivity. In the medium term, we plan to spend around $11 billion per year on average, but can flex this for value as we phase projects to match market dynamics and cash flow generation. Around two thirds of spend is expected to go towards future-facing commodities, including more spend on Jansen and growth at our copper assets. Mike will touch more on these later. We will also spend on our steelmaking commodities, in particular at WAIO as we creep production more than 305 million tons per year. To wrap up, we have reported a strong set of results for the 2024 financial year. We remain focused on operational excellence, and we remain committed to our capital allocation framework to make sure we keep generating long-term shareholder value. With that, I will hand back to Mike for an update on the business.
Mike Henry: Thanks, Vandita. Looking ahead now to what the world looks like for us in the near term. We expect global economic growth slightly above 3% for the 2024 and 2025 calendar years, so similar to last year. Developed economies will face gradual relief from the lingering effects of higher interest rates and India is set to continue as the world's fastest-growing major economy. However, China is experiencing an uneven recovery among its end-use sectors While we see steady growth in some parts of the economy important to commodity demand like conventional infrastructure, zero and low emissions technologies, machinery, automotive and shipbuilding, its property market remains under pressure. The effectiveness of recently announced pro-growth policies will be key to China achieving its official target of around 5% growth in 2024. Overall, while these dynamics will support continued strong demand for our products, growth and supply over the next couple of years will likely result in a small-to-mild surplus for a number of those and continued price volatility. Our ongoing leadership on cost and cash flow position us well in this environment. The longer-term fundamentals that drive demand for our products have not changed. Population growth, urbanization, rising living standards, and increasingly the infrastructure of decarbonization are expected to drive demand for steel, non-ferrous metals, and fertilizers for decades to come. The demand outlooks for copper and potash are particularly durable. Global demand for copper is projected to grow by around 70% between 2021 and 2050, driven by continued urbanization and industrialization underpinning traditional copper demand a growing wealthier population in developing countries driving adoption of more copper containing goods such as air conditioners, refrigerators and electronics and infrastructure upgrades and replacement of age capital stock in the developed world. The energy transition, including renewables, electric vehicles, and power infrastructure to enable it, and the need for data centers to support increasing computerization and use of artificial intelligence will be layered on top of that demand. We are not yet seeing an adequate supply side response to meet this forecast demand. The challenges to bringing on new supply remains significant, and that's reflected in consensus long term copper price expectations inching upwards. BHP stands to benefit given our incumbent position, our world leading copper resource position, and our healthy pipeline of growth options. We're also confident about the outlook for potash in which we hold a world class resource in Canada, an investment friendly jurisdiction. Similar to copper, we expect global demand for potash to grow by around 70% by 2050. Again, driven by rising population and improving living standards, but also changing diets and the need to improve productivity of existing land. And as an indicator of the strong appetite for this product and excitement about having another supplier in a relatively concentrated market, we already have memorandums of understanding in place with buyers around the world with respect to sales as the mine ramps up. The Jansen potash project is strategically significant for the future of BHP. It stands to create value for many decades over several potential stages. The team is making excellent progress on construction and readying it for the start of operations. On-site, significant work has been done on the permanent head frame of the service shaft. The structure of the wet and dry mills is shown on the right of this slide, and power generation infrastructure. And we've started work on Stage 2, which was approved in October last year. Stage 1 is now over 50% complete and remains ahead of our original schedule, with first production just over two years away. Our focus on technology, our scale, and our modern approach to mining and processing is expected to see Jansen enter the market at the low end of the global cost curve and to generate strong EBITDA margins and cash at all points in the cycle. In copper, we are in a very good position today. BHP has the largest copper resource of any company in the world. But simply having the resources isn't enough. To get the most out of them, we strive to be the best operators, more productive, consistent, and reliable. We've delivered the largest absolute growth over the past two years, more growth, in fact, than the annual production of a lot of other companies. Today, we are one of the world's largest copper producers, and we have a pathway towards well over 2 million tons per year of copper production. So, our strong position is set to become even stronger. For those that want to invest in copper today, BHP is very well placed. Copper South Australia is a key part of that industry leading copper story. In recent years, Olympic Dam has achieved more consistent strong operational performance and that has certainly been the case since the last smelter rebuild in 2021. In the past year, the team has successfully integrated Carrapateena and Prominent Hill, unlocking significant synergies in the process. Together the strong underlying operational performance in the expanded asset base provide a stable foundation from which we can invest in growth with confidence. The best way to deliver this growth is in phases. This would allow us to leverage Olympic Dam's existing smelter and refinery infrastructure and better match processing capacity with planned mine and concentrator growth over time into the 2030s. This makes for a more capital efficient and value creative pathway. The first of these phases, the smelter and refinery expansion, or SRE project involves installing a new primary smelting furnace in front of Olympic Dam’s existing smelter, converting it to a two-stage smelter and an expansion of the refinery. Phase 1 would deliver value on multiple fronts. First, it would allow us to process all of our copper concentrate from the province in-house, unlocking value through, for example, a reduction in treatment and refining charges and transport costs. Second, it would be size for growth, including a near doubling in volumes from Carrapateeina as its block cave comes on towards the end of the decade, and growth from Olympic Dam through investments in a new decline and expansion of the southern mining area. The timing of these is indicated in the bottom left of this slide. SRE is expected to help unlock around $1.5 billion in synergy value from the OZ Minerals acquisition, including $600 million already captured to-date, underscoring the value we saw in that deal and the potential of this world-class province. We expect a final investment decision on Phase 1 in the first half of the 2027 financial year, and if approved, this would see copper production grow from 310,000 to 340,000 tons per year today to over 500,000 tons in the early 2030s. Including by-products, this equates to around 700,000 tons in copper equivalent terms, 100% owned by BHP. The second phase would further expand smelting and refining capacity potentially to 650,000 tons of copper per year by the mid-2030s to match production growth as we further define and develop our upstream options, including Oak Dam and continued growth from Olympic Dam. In addition to the growth from our Australian copper operations, we've made good progress in narrowing down the growth pathways at our Chilean copper assets. At Escondida, our projects are shaping up well. They have the potential to add around 200,000 tons per year of incremental copper production, with attractive returns in the range of 14% to 19%, and competitive capital intensities. We'll take a staged approach to executing these, with some like the Laguna Seca expansion and a potential new concentrator ready for final investment decisions sooner than others like some of the leaching options. At Spence, we're looking at the potential expansion of the concentrator and extending the life of our leaching operations. And finally, at Cerro Colorado, where we still have 1.7 billion tons of Inferred Resource, there's the potential to restart operations with the application of novel leaching technologies a bit further down the line. We look forward to taking investors and analysts to our Chilean copper assets later this year where we'll be able to be more expansive on these growth pathways and projects. In addition to organic growth over the past several years, we've also been building a portfolio of early-stage investments where we seek to gain exposure to undeveloped resources with World-class potential. In late July, we progressed one of these with the agreement to jointly acquire Filo Corp with Lundin Mining to acquire 50% of the Josemaria project from Lundin Mining, and to form a 50/50 joint venture between us to advance the Filo de Sol and Josemaria copper projects in the Vicuña district in Argentina and Chile. This is a rare opportunity to grow our pipeline of long-term copper options by securing access to what we consider to be one of the most significant copper discoveries globally in recent decades. And it creates a long-term partnership with Lundin, in which both parties bring complementary skills and experience to the table. The proposed transaction, which is expected to complete in the March 2025 quarter, builds on a multiyear relationship between BHP and Lundin, through which we've developed a strong understanding of the resource potential of the Vicuña district and possible pathways for development. In the near term, while Filo continues exploration of Filo del Sol, we'll be focused on setting up the joint venture with Lundin and working with them to determine the best path forward to develop this emerging copper district and deliver long-term economic and social value for stakeholders. We intend to update the market on the time line for technical studies in the first half of 2025. So, in closing, BHP is in great shape. Our differentiated portfolio and clear strategy provide a platform for consistently delivering great results and outperforming our competitors. Our proven track record of excellence in operations has resulted in an EBITDA margin of, on average, 55% over the last decade, over 10 percentage points higher than our next closest major competitor. This gives us not only greater profitability and ability to fund returns and growth, it also gives us greater resilience. Our projects have typically come in on time and on budget, a track record that stacks up very well against others. And when combined with our capital allocation discipline, this has delivered a superior return on capital over the long term. We begin this year energized and focused. We will continue to execute the clear strategy that we've laid out, and continue to create value and returns for our shareholders and stakeholders now and well into the future. Thank you.
Operator: Thank you for standing by and welcome to the BHP full year results investor and analyst question-and-answer session. Firstly, I advised you that this conference is being recorded today. [Operator Instructions]. I would now like to hand the conference over to Mike Henry.
Mike Henry: Well, thank you operator, and welcome everybody. Thank you for joining us today. In the room here with me are Vandita Pant, our Chief Financial Officer; and Tristan Lovegrove, our Group Investor Relations Officer. I'm going to keep my opening remarks short given the presentation, but there are a few key points that I'd like to leave you with, the first being consistency. BHP performed well again this year, both operationally and financially. We delivered reliable operational performance with a number of records and we continue to manage inflation well. The actions we've taken in 2024 are consistent with the strategy that you've heard us speak about over the years. A portfolio of the best assets that we operate very well in the most attractive commodities that are set to benefit from the megatrends playing out around us. Second point I'd like to leave you with is cash flow. Ours is a business that consistently delivers a high baseline of cash flows through the cycle. In this year, we generated more than $20 billion of net operating cash flow. We've now generated net operating cash flow above $15 billion for all Bar 1 the past 15 years. And with healthy and consistent cash flows and our strong balance sheet, we have the ability to fund growth and deliver attractive returns to shareholders. And thirdly, growth. We have a strong and expanding set of growth options. Jansen Stage 1 is ahead of its initial schedule with first production forecast for late 2026 and Stage 2 is in execution. At Copper South Australia, we've already unlocked more synergies faster than anticipated at the time of the OZ Minerals acquisition, and we're increasingly excited by the growth pathway both there in South Australia and in South America with our work on a pipeline of projects in Chile indicating attractive returns. And we've also recently announced an agreement to form a significant joint venture with Lundin Mining related to a future copper growth opportunity in Argentina. So, all up, BHP is in great shape, performing well with plenty of growth in the pipeline. We are well positioned for the year decades ahead. And with that, operator, I will open it up to questions.
Operator: Thank you. Your first question comes from Paul Young from Goldman Sachs. Paul, please go ahead and ask your question.
Paul Young: Mike, a lot of focus in the presentation on copper growth and the balance sheet is very strong at the moment. I just want to dive into a couple of items, particularly starting with South Australia Copper. Some really good extra details on project timelines, also the synergies talking now 650,000 tons of copper potentially, and we've got a main resource at Oak Dam. So, I'm curious around, how you balance free cash on returns in South Australia, considering you spent about over $1 billion in FY '24? And, overall, how do we think about returns overall on the investment in South Australia?
Mike Henry: Okay. So, returns numbers, we obviously haven't included those in this presentation, Paul, unlike, Escondida. And that's simply by virtue of the fact that there's further work progressing there. But in due course, as we usually do, we'll come out with our view as on CapEx and returns. On your main question around how we balance between free cash flow generation and investment, let me take you back to what we said, when at a time when Olympic Dam was operating less reliably. We made a few points then. One, we said, we recognize that for us to invest in growth, we have to be able to do so from a stable platform. And therefore, we went about investing in both technical capability and asset integrity at Olympic Dam. And we've seen the benefit of that in recent years. That then underpinned our confidence in pursuing OZ Minerals. And you can see the both the effectiveness with which we've integrated those assets and the quite material synergy opportunity that lies ahead. But it's not just all future. We've already captured circa $600 million NPV and synergies, which is larger and quicker than we had originally anticipated. Now the other point that we made at the time was that, returns for that time it was just Olympic Dam, but the same thing would apply to the broader resource base at Copper South Australia. The returns escalate quite quickly as scale grows. And so, as we go forward to the assuming that we continue on with a stable underlying operational base and the economics of investment stack up, we'll back ourselves in terms of project execution capability to invest in the asset to unlock long-term returns. Now, all of that is predicated upon that investment stacking up well under the capital allocation framework with the other opportunities that we have within BHP. And I hope that you can see in this presentation that not only in do we have an expanding set of options in copper, we also of course have Jansen both in execution, but also potential future growth stages at Jansen as well.
Paul Young: Yes. Thanks Mike. And then maybe sticking on copper and switching over to Filo and Josemaria, in particular, a huge project potentially maybe a $15 billion project, lots of flag pull spend potentially, and it does look like that will fall in potentially on the same timeframe as some of your other major projects in that ‘28 to 2035 timeframe. I'm just curious about showing the returns at on Escondida there 14% to 19%. How do you think about returns on Filo considering that it's a major project that sets potentially multidecade? How do you think about the returns or hurdle rate for projects of the scale?
Mike Henry: So, I'm going to ask Vandi to talk a little bit about the capital allocation framework and how projects come together under that. But let me just start by saying, what a great opportunity that we have ahead of us with this quite rich portfolio of copper growth options that we have now. Now specifically in respect of the Filo opportunity, it is not that often that one comes across the opportunity to access what could be a very significant in global terms new copper basin. And that's what Argentina and the Vicuña district represent for us. So certainly, exciting future prospect. The other point that I would note is that it's not just Filo, of course, we've also acquired 50% of Lundin Minings’ Josemaria deposit, which is about 10 kilometers away from Filo. And it's a more advanced project in terms of project planning and approvals. And so, together with Lundine, we'll be sitting down in the period ahead and working through what the optimal development pathway is for those two deposits in tandem. But Vandita, did you want to provide any further comments on kind of a capital allocation framework and how we think about competing projects and returns?
Vandita Pant: Yes, sure. So, from capital allocation framework perspective, as you know, Paul, we look at how the projects compete across returns, across stages of development, and make sure that we have resilient balance sheet to support this growth. So, if I look at medium term, ‘27 to ‘29, of course there are projects which taper off during that time of 11 billion of our guidance in that Jansen, given the timing will come off. Jansen 1, would be done by that time, which means we can accommodate more copper growth projects both for Copper SA and Chile. We have of course, 305 of WAIO creep up to production during that time. So that has included. But nickel, of course, given our recent decision has come out of our numbers, and some of the 330 up to 330, kind of studies are in, but projects are not. But overall, you can see that we have quite a resilient balance sheet with the 9.1 billion of net debt right now. Range allows us that flexibility to phase the projects, sequence the projects, look at optionality and look at what we can do in terms of the growth. Filo currently is not in these numbers because of course the transaction is yet to close, but we feel quite comfortable to have a good balance sheet, financial discipline, a lens for value on growth, which I think is really critical to have good returning projects and let those projects compete. A good problem to have, as Mike said.
Operator: Thank you. Your next question comes from Lyndon Fagan from JP Morgan. Lyndon, please go ahead.
Lyndon Fagan: Good morning. Thanks for the call. Look, my question is back on the FY '26 CapEx with a step up to $11 billion, I can see consensus is about $9 billion. So, the market's got a couple of billion to solve for. And Vandita, I noticed your comments about Nickel West dropping out. There's been some pretty significant spend there in recent years that has dropped out. So, what are we actually missing to solve for that $11 billion? It'd be good to get a bit more detail there. And is that the new bucket going forward now, considering medium term, is also $11 billion? I've got a follow-up as well. Thanks.
Vandita Pant: Sure, Lyndon. So, from that $11 billion usual, our bucket on maintenance stays the same. It's around $3 billion odd, which also includes some of the stripping numbers. We are increasing our spend, of course, on potash. Potash last year was 1.1 billion. This year, FY '25 will be 1.8. And '26 will have a Jansen into kicking in even higher. And then it tapers off. Our projects on copper start to also take a higher spend out of '26. I should remind you that there is quite a bit of fleet replacement in many of our assets. WAIO has some fleet replacement. Escondida has haul trucks and shovel replacement also in there. And Western Ridge is being executed over next two years as well. So overall in the mix, the $11 billion for '26 includes higher growth projects for copper, includes higher spend over next two years in potash. Maintenance remains roughly the same number, and some improvement projects which are mainly fleet replacement related.
Lyndon Fagan: Okay, thanks. And look, my follow-up just on iron ore, a lot of focus on today's pack is on copper, and there's really very little on iron ore, which is still your main earnings driver. And the question I had really is about the project to 330. I can't help feel as though that's been put on the back burner a little bit. Obviously, the studies are continuing, but there's not a lot of detail at all in terms of really wanting to execute that. Mike, I noticed in the past you've talked about maybe it's not 330, it's something in between 305 and 330. So maybe just a refresh on the way the business is thinking about. That would be right. Thanks.
Mike Henry: Okay. So, first point, Lyndon would please, please don't read anything into the fact that we've made more of copper growth in this presentation in terms of what that says about iron ore position, absolutely unchanged when it comes to iron ore and the optionality to expand to 330. And that position is that it's exactly that. So, as we've said in the past, all we're doing is creating the option for us to go from 305 to 330 should market circumstances and kind of the economic the risk returns profile for that trench of growth be attractive for us. But that we wouldn't know that until a couple of years’ time. Now, in terms of the of half year question and it was around, well, how do we get from 305 to 330? What I may have said previously is simply that it's not a single decision. There would obviously be a number of enabling projects that would need to occur for to take us from 305 to 330. That's part of the study work. And that each project would be considered, on its own merits or each capital investment would be considered on its own merits in terms of returns. So, it's conceivable that we could end up with a series of projects where some of those are attractive, some of them less attractive, and so we elect not to go all the way. But the point is that we haven't made a decision about any of that growth beyond 305. And that all we're doing at this point is the underpinning study work to give us the option to be able to trigger that, if we think it's the right thing to do under the capital allocation framework.
Operator: Your next question comes from Rahul Anand from Morgan Stanley. Rahul, please go ahead.
Rahul Anand: Hi, good morning. Thanks for the call. Look you've talked a bit about the CapEx side. I just wanted to touch a bit on the copper expansion opportunities on Slide 19. So perhaps, if you can help me understand Mike, firstly in terms of expense, obviously we had a slower start in terms of recovery and throughput, but you've talked about expansion further there. Can you give me a bit of color around what you're thinking? Obviously, the current capacity is around 35 million tons per annum your initial targets for recovery were 88%, and we're running a bit below that. Where do you see the scope for this project? And is that recovery target then going to be a different number, as in I'm trying to understand whether the initial targets for the asset applies still or not?
Mike Henry: So, there were a number of numbers that you're using there, Rahul. Obviously, the first focus at Spence has been to stabilize operations post the Spence growth option. And we were clear previously that we had two issues we were grappling with. One was recoveries. The other one was the tailings facility. And we've been investing incremental capital in securing the recoveries or getting us closer to the recoveries that we originally anticipated, as well as in is in dealing with some of the early challenges that we had around the tailing facility. Now what we're talking about here so in the presentation, it's a different than specifically the side that you're referring to. That's something different from that. So, this is saying that as we look at the expansion options in copper across the portfolio. We've been clear about some of the opportunities like Escondida and we provided capital intensities and returns numbers there. But we don't want it to be lost on the market that we also have expansion, further potential expansion opportunities at Spence. We have the potential to bring Cerro Colorado back in due course and so on. Now those things are still works in process, but broad brush, they would involve us, moving to application of further leaching expense to sustain production over time. Vandita, is there anything you want to talk about?
Vandita Pant: Yes, sure. As you know, our cathode production there is coming down as the feed grade reduces. And hence, the CPY leaching option is something that we're looking at for Spence. In fact, we have applied for approvals for that. And that is something which can extend the volumes and spends for 14 [indiscernible]. So, what you see on Slide 19 is talking about that into the 30 as well there.
Rahul Anand: Got it. Okay. And, look, second one perhaps for you, Vandita. I just wanted to touch upon the capital allocation framework a bit as well in terms of the payouts. Obviously, you have a minimum payout figure of circa 50%, which you've paid over for this year, and we finished the position in a strong net-net position. However, if we look forward in some of the commentary on this call, as well as talk about a bit higher CapEx than where consensus was for both ‘25 and ’26. You've potentially got two- and a-bit billion coming out for the Filo acquisition. And then you've also got provisions and also contingent liabilities looking into the future. So, I guess my question then is around, how do you look at that net debt range and where do you really need to be within that range, bottom half above or the top half to be able to sort of start thinking about any sort of payments about that 50% level in terms of a special, or should we just be thinking about 50% going forward for the foreseeable future?
Vandita Pant: Yes, Rahul, so our capital location framework, the beauty of that framework is that we do look at a rigorous application every six months from a dividend perspective that you mentioned. Of course, 50% is something which is important to our shareholders. We're very cognizant of that. But in terms of performance, outlook, how the value accretive projects are going, where the balance sheet is, all of that gets into the mix for decisions on the top up around dividends. But if I were to step back and say, as you rightly said, really resilient balance sheet, we are very comfortable with the balance sheet where it is today and in fact can swing anywhere in that range and for the right projects. As we have always said, you have seen us say this for years, that if we had a pathway back into the range, we will be happy to even go higher than that if needed. But right now, given the range of CapEx that we've talked about, $11 billion, it excludes a few of the things that you mentioned, given the flexibility available in our net debt range and where balance sheet is, we feel they're comfortable in terms of allocation of really maximizing value for growth projects, but also looking at cash returns. But this is a good problem to have and we are feeling quite focused on making sure that the growth projects can be triggered and returns can be managed as well, given where the balance sheet is.
Mike Henry: Vandita. So, I'm just going to add Rahul to a couple of points. One is that, it's a difficult question to answer in the sense that one of the variables in the decision-making process is, how we see the outlook over the coming 6, 12, 24 months. So how we're seeing markets and so on. So that's part of the board consideration when we sit down at each reporting period to determine the go forward dividend. But the other point I would make is that we've been, and you see this kind of embedded in the foundation of the capital allocation framework, we really get the importance of cash dividends to shareholders. And we see the value that gets created through holding cash dividends or returns to shareholders and reinvestment in the business intention because of the competition that creates internally for capital, which gives us overall better projects and better returns. So, we make the determination every six months. As Vandita said, there's some flex around the things that we can control. But there's a real appreciation for the importance of shareholder returns.
Operator: Your next question comes from James Redfern from Bank of America. James, please go ahead.
James Redfern: Hi Mike and Vandita. Hope you well. Maybe first question on iron ore please. So, you talked about the study to 330 million tons. It weighed being completed in calendar year '25 and they're being approved subject to market conditions. So, I guess I'm wondering, BHP is the lowest cost producer globally, which is great, but if we assume iron ore prices are below $9 per ton in '26, '27, are you able to comment on whether that justifies the way expansion 330 going ahead? Thank you.
Mike Henry: It will compete with other projects under the CAF table. Part of the answer lies in what the returns and risks look like for the other projects in the portfolio. And the better job that we're doing there, the more likely it is that other projects will out compete for capital. To be clear, what we've said is the studies will be coming to a head in 2025. That's different from saying that we're intending to pull the trigger otherwise in 2025. All we're saying is we get the option when the studies are completed. We can then elect as to when we decide to pull the trigger. And we would be looking at both the natural things around CapEx, cost of production and so on, but also the market outlook. But we've been clear that we see the iron ore market being under increasing competition on a go forward basis, but we're very well-positioned for that given where we sit on the cost curve. But at the end of the day, all these things will come back into the mix, compete under the capital allocation framework for capital. And as Vandita said earlier, we've got a growing good challenge in that and we've got more attractive growth projects and opportunities for that capital coming through, as we've made clear in this presentation.
James Redfern: Okay, thanks, Mike. My second question just relates to South Australia Copper. So, you did provide indicative IRR of 14% to 19% and the CapEx intensity for the Chilean copper growth options, which is great, and we'll find out more details at the site visit in November. But just returning to South Australia Copper, the smelter refinery expansion at Olympic Dam is probably the largest or one of the iron ore, I should say in addition to the potential development of Oak Dam. Potential, if I did for the smelter expansion is FY '27, when do you think we get some more details on the CapEx for that OD expansion, please?
Mike Henry: So, I don't want to give an exact timing, James, other than to say that we've got a track record. We don't come out and surprise people with an outcome. There's a process through which we give it internal deliberation. Once we've got a sufficient level of confidence then we'll come out and provide early indicative numbers to the market, both on CapEx and returns, and you saw this do that with Jansen as well. We'll follow exactly the same path here on copper South Australia.
Operator: Thank you. [Operator Instructions]. Your next question comes from Kaan Peker from RBC. Kaan, please go ahead.
Kaan Peker: Good morning, Mike and Vandita. To questions from me. First just wanted to build on Paul's question on Filo. I know the transaction is live, but maybe if you can give an understanding of sort of the conceptual development of Josemaria and Filo. Not really around timing, more around staging. It seems like Josemaria will be progressed first and then Filo oxides and sulphides and what existing infrastructure you can use around the region? Thanks. I'll follow-up on the second one.
Mike Henry: Okay. So broad brush Kaan, it's exactly as you said. Given that Josemaria is further advanced in terms of studies and the approvals path, but -- and all of this is subject to further work between Lundin Mining and ourselves. But at a high level some of the initial thing is around developing Josemaria first and then backing Filo into that over time. Still no definitive timelines, but we have said that we'll be working that up with Lundin. And just remind me, Tristan, we've said that we'd be coming forward calendar year with some more detail on that.
Kaan Peker: And any sort of deal on existing infrastructure?
Vandita Pant: So, the thing what is changing, of course, is the exciting opportunity to bring two projects and look at the integrated development plan, which also means where infrastructure can be put in, given, as you know, the difference in altitude between the two and the ability to share infrastructure, et cetera. So, all that will be considered in the integrated development plan, which will work through with the Lundin Mining.
Mike Henry: Kaan, just to be to make sure I understand the correct question. You're talking about infrastructure for the development. Are you talking about you mentioned existing infrastructure, so I wasn't quite sure about your infrastructure for the development? Okay. Obviously, power and water and so on is yet to be determined. We do understand that over the long term, there would be further infrastructure needing to be developed for both water and power, but that would form part of the development plan.
Operator: Your next question comes from Rob Stein from Macquarie. Rob, please go ahead.
Rob Stein: Just regarding WAIO and the capital intensity increase from a sustaining point of view. How much of that capital underpins growth above 305? But to put it another way, can we expect to see capital intensity discounts go from 305 to 330 by virtue of what you're spending to sustain the business currently? And I've got a follow-up thanks.
Mike Henry: No. So, I think big picture the way to see this Rob is that the tranche of expansion to 305 will be better capital intensities than any potential expansion from 305 to 330 albeit that ladder expansion could also be attractive just solely looking at capital intensities relative to greenfield developments or the brownfield expansions of some others. Now, you are seeing in the near term due to fleet replacement and so on, a bit of an increase in the sustaining capital draw of the way of business. But the numbers are still quite low relative to the competition because we've got these big, big minds, and we don't have to turn over that capital quite as frequently as others.
Vandita Pant: The 305 related CapEx really relates to then PDP 1 Port Debottlenecking Project, which has been coming to a fruition and RTP 1, which is the Rail Technology Project.
Rob Stein: Okay. And then, switching gears a bit, just on the copper builders’ projects to support the growth, you speak to a new concentrator. Just to be specific, is that the replacement for Los Colorado or is that a concentrator in addition to Los Colorado?
Mike Henry: No, this would be a replacement for Los Colorados, Rob, because of course, in order to access the high grade that sits below Los Colorados, we'll need to demob it in due course.
Operator: Your next question comes from Lachlan Shaw from UBS. Lachlan, please go ahead and ask your question.
Lachlan Shaw: Morning, Mike and Vandita. Thanks for the time. My first question is just on WAIO and I guess the expansion. So, when you're looking at the returns to investment to go to 305 or 330, does the analysis factor in any expected impact on broader price from bringing more tons into the market? I'll come back with my second.
Mike Henry: Short answer, yes, absolutely, Lachlan, that's one of the key things that we look at, is the market consequences of any expansion decision that we may take and that then gets factored into the economics. You got a second question.
Lachlan Shaw: Okay, great. That's helpful. Thank you. Yes, I do. So, I just wanted to focus on the CapEx again, and just a small one clarification, hopefully. So, I'm just noticing that in the medium-term maintenance and decarb capital ease is a little bit lower. Can you just talk to what's going on there, please? Thank you.
Vandita Pant: Not really, Lachlan, in fact, the decarb CapEx will go up at the end of the decade.
Mike Henry: I think he's referring to maintenance capital as well as.
Vandita Pant: Overall.
Mike Henry: We do have a wave of fleet replacement that's coming in the near term as well as a bump in deferred stripping. So of course, maintenance, fleet replacement can be a bit lumpy. And we're seeing one of those lumps come through now, and we've seen this increased spending to remind us from 800 million to 1.2 million in deferred stripping in the period ahead.
Lachlan Shaw: Next question, if I might. Sorry, just a quick clarification. The fleet replacements actually in improvement capital rather than maintenance.
Vandita Pant: So, maintenance stays around 3 billion. Last year, was 3 billion. Guidance for this year is also 3 billion, but as Mike said, it includes deferred stripping, which is increasing a little bit.
Operator: Thank you. Your next question comes from Paul McTaggart from Citigroup. Paul, please go ahead.
Paul McTaggart: Thanks for the additional color around the Chilean copper growth options, but I did want to ask at the end of that FY ‘40 timeframe, can you give us a sense of where we are in terms of grade for sulphide versus [indiscernible] grade? You know, because it would give us a sense of then beyond that what might have to happen because you've got a relatively modest uplift in [indiscernible] Escondida concentrate. I'm just wondering what that kind of grade decline out to that end of FY ‘40 is.
Mike Henry: So, if I understand the question correctly, you're asking what the long-term grade at Escondida is going to be in the post 2040 period. And Tristan, maybe if you can follow up with the exact numbers, but we see the decline down to -- from memory 0.7-ish, not…
Vandita Pant: Yes.
Mike Henry: But let me follow-up, just because of the timeframes involved being so far out, we'll try to give you a sense for where it retreats to by that point in time.
Tristan Lovegrove: So, Paul, it goes below 0.8 obviously in the end of this decade. We don't actually give sort of the clarification where the grade goes next decade, but let's see if we can help you in any way we can.
Mike Henry: I think the broader point I would draw out here is really two things. One is grade decline isn't exactly a feature that's specific to Escondida. We all face it. What you can see coming through in these results is, our efforts that are looking quite positive at this point to offset grade decline at Escondida with the projects that we've provided some detail around. And what we're doing across the broader portfolio to not only offset grade decline, but to grow underlying copper production in the face of the significant opportunity that we see ahead of us. And that's off of us base of us being one of the largest copper producers already, the most significant resources of any company out there in terms of copper and expanding further through things like the opportunity that we've announced with Lundin and through the integration of the OZ Minerals assets. So, we're pretty confident and excited about our position on copper currently and what lies ahead for us, not just on the 2040 timeframe, but even nearer dated than that as we unlock some of these opportunities towards the back end of this decade.
Operator: Thank you. Your next question comes from Glyn Lawcock from Barrenjoey. Glyn, please go ahead and ask your question.
Glyn Lawcock: Morning, Mike and Vandita. Just firstly on copper. I mean, you've got a lot on your plate now with three districts that you're going to focus on. Obviously, you can solve for the funding, but what about the physical ability to deliver the three districts? And do you think the Company has the ability to execute on a fourth, if you were to add a fourth district as well? And I've got a second thing.
Mike Henry: Yes. So, great question. And one where we always have to be humble and recognize that time has passed and we've tried to take on too much. It's created challenges. I think, in this case, a couple of things to say. One is, we do have a growing track record of solid execution when it comes to major capital projects including in inflationary environments. We've put in place better disciplines when it comes to project planning and execution. And in fact, we refer to how our outcomes stack up relative to the competition in that regard. The fact that you end up with projects across different jurisdictions can actually be helpful because you don't have projects bunching up on one another, but there will be limits to that. Now, I predict that the limits are going to be less related to the ability to execute, albeit we have to be very cognizant of that. The limits will be rather related to us wanting to continue to drive fierce competition for capital under the CAF. And as Vandita highlighted earlier, we'll be thinking about project sequencing to give us the best returns under the CAF, but also to allow us to manage within the envelope that we have around things like net debt, cash returns to shareholders and so on.
Glyn Lawcock: Yes, sure. I get that, Mike. And before I ask my second, I mean, it's going to be hard to sequence though. You've got a partner in the Vicuña district who will want to move that forward. You've got to move and you've got to deal with the grade decline at Escondida and to get the synergies out of copper SA, you've got to do what you’ve got to do. So, you don't have a lot of flex really, do you physically?
Mike Henry: Well, we will. So, keep in mind that some of these are still early-ish on in their planning phases. We have to see how timelines on an unconstrained basis for a month before we even get to the point of needing to sequence. But having said that, within any of these projects, there's always opportunity to flex within a certain time range. And more often than not, our interest will be aligned with, partners because we'll part of the flex will come back to how we go about optimizing returns, not just across the BHP portfolio, but for the project in question. Now of all the companies out there, if you look at our, the stability of our cash flows, our track record when it comes to project execution, I think, we've got greater ability to deal with this this growing opportunity than some others would. But we're going to have to be thoughtful and deliberate about it, which I think is your point, Glyn.
Glyn Lawcock: Yes. Sure. Thanks. And then just switching gears to iron ore, just your thoughts at the moment. I mean, is this just a cyclical downturn or do you think it's now the start of the structural downturn? And in answering that, we've seen a 30 million ton increase in port stocks in China. WAIO admitted they increased intentionally their port stocks by 10 million tons this year to enable blending. Has BHP done similar to enable blending like you've taken a permanent change in your port stocks? Thanks.
Mike Henry: We've taken the step in recent years of increasing trading along the coast. So, iron ore stocks and trading along the coast in China, not of the same order of magnitude as some others, but it's certainly an activity that we have underway. Your main question is, well, what are we seeing or the main part of your question was, what are we seeing play out in the iron ore markets currently? I come back to what we've predicted as the broad trajectory for iron ore for a number of years now, which is that we see steel plateauing in China. It's plateaued at a high level above a 1 billion tons per annum. In due course, it will begin to contract. We will see pig iron contracting more rapidly as more scrap comes into the cycle. And therefore, iron ore demand or the iron ore market contracting as well. It's what's driven our strategy to be at the very low end of the cost curve and to improve the quality of the product suite. And you see the benefits of that strategy playing out in real-time where we've got significantly higher cash margins than the next well in the competition in the Pilbara to at least the tune of at least $8 per ton. And we continue that focus. Now I would remind everyone that there's a bench of probably about a 170 million tons or thereabouts of high-cost production in the market of between $80 a $100 per ton production costs. So, it takes a lot for prices to move sustainably below that level. And I think you're seeing that play out in terms of market pricing even in the face of increasing port stocks.
Vandita Pant: And if I may add, Mike, out of that 170%, 90% of that bench is above $90.
Mike Henry: So, $90 to $100, yes.
Operator: Thank you. Your next question comes from Lyndon Fagan from JPMorgan. Lyndon, please go ahead and ask your question.
Lyndon Fagan: Thanks very much for the follow-up. Can I ask about the Anglo deal? So now that, you've got Filo, Josemaria, potentially 10 billion of deployment there in the medium term, does this extinguish the Anglo deal?
Mike Henry: Yes. And they're off pursuing their own plan, Lyndon. And so disappointing outcome, obviously, because we thought there was value to be created for both sets of shareholders. But I was at pains at the time to say that that wasn't plan A. Plan A is everything you see because of the course, all the work that we're talking about now in this results presentation was already underway at the time. And so, we had a pretty high degree of confidence about what we could do within our existing portfolio to unlock more of our copper resources more quickly. Of course, in the subsequent period, we've undertaken the Filo transaction and partnership with Lundine. And so, they're executing their plan, we're executing our plan, and it's a plan that we have growing confidence around, and you see that being reflected in the results this time.
Lyndon Fagan: Thanks. And the FY -- we've got the FY ‘31 to FY ‘40 block on.
Mike Henry: We can hear you intermittently. Why don't you give it a go again?
Lyndon Fagan: Okay. Sorry about that. I'm not sure what's happening. Slide 19, the FY ‘31 to FY ‘40 period. I'm just wondering, if you can tell us where copper production troughs in that block.
Mike Henry: FY ‘31 to FY ’40. Yes, it's I think so if I think where we expect to see the trough is actually prior to that, Linden, so we'll see Escondida grade coming off 2027 and beyond. And as we've been clear about in previous results presentations, all of this great work that's underway to Escondida around projects won't come in quite on time to offset that trough. So, there'll be a brief period of production dipping, but then it grows from there. So, if that's what you were focused on, we should actually expect it to happen pre the end of this decade. And then by the end of the decade, more production to be coming on both from the Escondida and Chilean assets and as well as Copper South Australia.
Operator: Your next question comes from Rob Stein from Macquarie. Rob, please can you go ahead and ask your question?
Rob Stein: Hi, thanks for the follow up. Just a question on BMA. We've seen obviously some cost guidance that's moving in the right direction. Is there a future for that asset where it's a bit more of a value of volume approach given that lower production may lead to lower cost and also supports the market a little bit better? Thanks.
Mike Henry: So, for us, it's always about value, Rob. Now that's not what's led to some of the lower production numbers that we've had in recent periods. That's more been around some of the operational challenges that we've encountered. And just like we do with other businesses because of where we sit on the cost curve, the likely outcome for us is to focus on productivity and within the capital that we have deployed, the highest returning opportunity is likely to be for us to continue doing as good as job as we can on reliably operating day in and day out. But a couple of other things to keep in mind. It's a fundamentally different portfolio today than it was say three or four years ago. We've gone from circa 50% of the premium quality products to 90% now in the portfolios who are targeting a very specific -- we're targeting the coals that are likely to be most valued by customers as they seek to decarbonize their operations. And you know, as we've been clear with our medium-term guidance, we think the focus on productivity, because that's not growth capital, that's a productivity outcome, is likely to see production inching upwards, but against the backdrop of strong demand as well as India. But Vandita probably triples their steel production by the 2050s. And of course, they're reliant upon imported coking coal. And we think there's still a case to be made as well for some of the Chinese coastal mills to be importing higher quality coal. So, we see the opportunity is significant. We're very well positioned for that opportunity, but the focus is really on making the most of the capital that we already have deployed in the business.
Operator: Your next question comes from Lachlan Shaw from UBS. Lachlan, please go ahead and ask your question.
Lachlan Shaw: Thanks very much for the follow-up question, Mike. This was really one, I guess, on the portfolio and just looking at, you've got a fair bit coming up in Australia, obviously plenty to do in South Australia Copper, WAIO, but also plenty outside of Australia. I just wondered, if you had any observations about how relative returns of projects in Australia are stacking up versus projects offshore, given we're seeing a fair bit of movement now in industrial relations and labor same job, same pay, but also changes in tax rates elsewhere, for example in Chile. So, can you give us any insight into the sort of patterns you're seeing there, please? Thank you.
Mike Henry: Sure. So, it's going to be a little bit dependent on projects, the specific projects to state the obvious. And so, you'll see something like the lift from where we are today and WAIO to 305 likely to be very high returning because of brownfield, very straightforward brownfield expansion, low capital intensities through to more significant capital investment like what is being contemplated for Copper South Australia. We've been strong advocates, not just for BHP and our sector, but for the nation as a whole to have policies in place that support global competitiveness. And those include related to industrial relations and labor productivity, tax policies, energy policies, and so on. And certainly, with some of what's been enacted recently, we fear that there is drag being created in terms of underlying competitiveness. But that is but one factor that then goes into determining project returns. And the world's not static. Of course, in some other jurisdictions you also have the changes to tax policy, albeit if I use the Chilean example, done in collaboration with the industry, with an eye on what's required to maintain investment attractiveness and competitiveness versus in the case of Queensland coal, where it was done with disregard for the industry and without consultation. That's one of the things that weighs up into our view of risk and it impacts on the underlying outcomes as well in terms of how damaging they are to the sector. At the end of the day, we have a capital allocation framework in place on an ongoing rolling basis. We bring projects in from all around the world, be they here in, be they in iron ore or copper or Australia versus Chile versus Canada versus Argentina. And we weigh up the relative risk returns profile. And that's what then drives, what sequence we adopt around the projects and which ones make it past the gate and into execution. Vandita, is there anything you wanted to add?
Vandita Pant: No, I think that's well covered. Thanks.
Operator: Your next question comes from Paul Young from Goldman Sachs. Paul, please, can you go ahead and ask your question?
Paul Young: Thanks again, Mike and Vandita. Mike, a question around inorganic opportunities in copper and the comments you made about going above the top of the net debt target range. If there's a pathway back in, that makes sense. And a lot of companies say the same thing. But just specifically on the Anglo transaction actually, and when you're assessing, Anglo, there was a lot of discussion in the market around implied capital intensity on the copper assets once you strip out the other divisions. And I know you've shown capital intensity as an example on Slide 19 on the Escondida expansions, but that's just a rule of thumb, to sort of just measure things. But so, I guess the question I have is, how much weight do you put on that when people were talking about that? Or for you, when you assess this transaction, are you looking more about replacement value in dollar $1 billion and also just for future growth options in DCF?
Mike Henry: So, look, we don't start from the perspective of it's cheaper to buy than build and therefore, we have to pursue acquisitions. We've been clear from the get go that we're not going to be driven to pursue acquisitions. We'll be opportunistic about them, and we'll be only pursued them where we can see value being unlocked for BHP shareholders in absolute terms. Now, the reality is you're going to see some instances where build is cheaper on a capital intensity term and higher returning than acquiring anything even when that acquisition looks attractive. In other instances, a build might look less attractive in terms of headline capital intensity, but it provides you with longer runway and so on. So, it's hard to adopt the rule of thumb around these things. The reality with the Anglo transaction was that we certainly saw an opportunity for BHP shareholders, and we believed Anglo shareholders to create more value. But at the end of the day, they elected to choose their own to pursue their own plan. We've continued on with our Plan A and you see that reflected in the results presentation today.
Operator: There are no further questions from the phone at this stage.
Mike Henry: Okay. Well, everyone, I just wanted to thank you for joining. I hope you can see that the underlying performance of the Company continues to be strong and consistent. Very simple strategy, we continue to execute on it, including building up the growth pipeline in commodities that we believe are going to be most attractive and stand the benefit greatest from the big megatrends playing at around. So, lots to come and BHP set up quite well to continue to deliver great value for not just the year ahead but for decades to come. Thank you.
Operator: Ladies and gentlemen, thank you for your interest. You may all disconnect.